Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good morning, everyone and welcome to the Kaltura Fourth Quarter and Full-Year 2021 Earnings Conference Call. All material contained in the webcast is the sole property and copyright of Kaltura, with all rights reserved. 00:16 For opening remarks and introductions, I will now turn the call over to Erica Mannion at Sapphire Investor Relations. Please go ahead.
Erica Mannion: 00:25 Thank you, and good morning. With me today from Kaltura are Ron Yekutiel, Co-Founder, Chairman and Chief Executive Officer; and Yaron Garmazi, Chief Financial Officer. Ron will begin with a summary of the results for the fourth quarter and full year ended December 31, 2021 and the trends and areas of focus that are expected to impact 2022. Yaron will then review in greater detail the financial results for the fourth quarter and for the full year, followed by the company's outlook for the first quarter and full year of 2022. We will then open the call for questions. 00:59 Please note that this call will include forward-looking statements within the meaning of the Federal Securities Laws, including, but not limited to statements regarding Kaltura's expected future financial results and management's expectations and plans for the business. These statements are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to differ materially from those discussed here. 01:23 Important factors that could cause actual results to differ from forward-looking statements can be found in Risk Factors section of Kaltura's quarterly report on Form 10-Q for the quarterly period ended September 30, 2021, and other periodic SEC filings, including the annual report on Form 10-K for the year ended December 31, 2021 to be filed with the SEC. Any forward-looking statements made in this conference call, including responses to your questions, are based on current expectations as of today, and Kaltura assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. 02:04 Please note we will be discussing a non-GAAP financial measure, adjusted EBITDA during this call. For reconciliation of this non-GAAP financial measure to the most directly comparable GAAP metric, please refer to our earnings release, which is available on our website at www.investors.kaltura.com. 02:24 Now I'll turn the call over to Ron.
Ron Yekutiel: 02:26 Thank you, Erica and thanks to everyone for joining us on the call this morning. We reported today that our revenue for the fourth quarter was $42.7 million, up 21% year-over-year and our subscription revenue for the quarter was $38.5 million, up 33% year-over-year and represented approximately 90% of total revenue. 02:50 Our annualized recurring revenue or ARR for the fourth quarter was $150.8 million, up 29% year-over-year and our net dollar retention rate for the fourth quarter was 120%, up from 103% in the same quarter in 2020. We also continued improving our gross margins year-over-year, achieving 63% in the fourth quarter versus 60% in the same quarter in 2020 and our adjusted EBITDA for the fourth quarter was negative $7.7 million. 03:25 This quarter wraps up a fiscal year where we grew our total revenue by 37% and our subscription revenue by 39%. We also posted 75% year-over-year growth and the number of customers with over $1 million ARR and 25% growth in the number of customers with over $100,000 ARR. 03:49 Growth in 2021 was driven by our expansion from a leading position in the video content management market into the virtual event, webinars and virtual classroom market. This expansion was enabled by the recent addition of real-time conferencing and chat capabilities for earlier video on demand and live broadcast technology stack. It was also marked by a shift towards powering more external use cases in the enterprise, we’re seeing those are the buyers as well as an expansion down market that broadens our target customers to include SMEs and departments within larger organizations through more low touch and self-serve products. 04:28 We're in the very early days of the strategic expansion to new product markets in the broad enterprise space. This adds to our vertical market activity, currently in the education and media and telecom market, with key differentiators and strong initial demands for all of our new products. We aim to reach a leadership position in these markets. 04:49 As video based experiences continue to drive critical interactions, the opportunity ahead of us is bountiful. But before we discuss further our plans and growth engines for 2022, I want to address our recent growth deceleration and why we expect this trend to reverse this year. In the second half of 2021, we experienced a slowdown in the growth of our subscription revenue and a decrease in our professional services revenue. The headwinds on both revenue sources continued also into Q1 ’22. The following are the three driving forces behind us. 05:27 First, we experienced lower than planned EE&T new booking. We kicked off a very strong 2020 and first half of 2021, which were fueled by higher levels of demand caused both by our newly introduced products and COVID. After a multi-year increase in our EE&T average sales force productivity, we started seeing a decline in productivity, mainly due to the lengthening of new business sales cycles. This softness that was felt across the industry is also underscored by organizations shifting from rapidly purchasing a Virtual Events product along with many professional services to conduct their few flagship events remotely during COVID, to more slowly and diligently purchasing a low touch enterprise wide platform that would cater to all of their future event, large and small, both virtual and hybrid. We were expecting this trend and recently launched the second version of our Events offering that caters to this broader need, which represents a bigger market opportunity. 06:38 And in regard to the number of salespeople, while in Q4, we had over 40% more ramp quota carrying (ph) salespeople compared to the same quarter the year before, we were still below our plan. This is due to the very competitive hiring and retention environment. We discussed this in our last earning call, and I've been further accelerating our higher instant. But we expect that during 2022, we will see average sales force productivity increasing back up fueled also by the new version of our events offering as well as the continued material growth in the number of salespeople. 07:14 Second, the need for less professional services. We've been modifying our offerings for both EE&T and M&P to be more transactional and require fewer professional services in order to appeal to more customers and accelerate our sales and deployment cycle. Part of this trend was already planned and expected with the expansion of our self-service EE&T offering and our shift in M&P from focusing primarily a large telcos to also targeting mid-sized media company. 07:45 This trend was however a further accelerated with a recent evolution of our events offering that I consumed significant professional services into a low touch platform that requires far less of them. While this reduction in professional services slowed down our short-term total revenue growth, we believe it is beneficial in the longer term, as it helps boost subscription revenue growth rates in gross margins. It is also not expected to affect our longer-term growth rate as post this transition the proportion of professional services revenue of our total revenue is expected to settle down on the new lower level. 08:25 Third, one of our major customers, we do as part of their business in revenue with us during the fourth quarter of 2021. If since renewed various existing projects and a partnered with us on new ones, so our business with them is picking up again and they are expected to remain a major customer this year. Outside of this specific customer, our gross retention metric in 2021 was close to our historical average and as mentioned, our net dollar retention rates remained high in this quarter and in 2021 as compared to 2020. 09:03 As we look into 2022, we expect the three factors that I noted to affect primarily the beginning of the year. We expect our growth to be fueled throughout the year and beyond by the following three main engines. First is our continued sales force ramp. Our plan this year is to continue ramping our enterprise sales force by more than 40% year-over-year. After many years of not growing our sales force will be able to enjoy the contribution of both the new recruits of 2021 and of 2022. 09:38 The second is the expansion of our events platform capability. As mentioned during 2020 and 2021, we primarily focused on high-profile flagship event. We were ideally suited for this used case, as we power all types of video experiences on demand, live and real-time at great scale with tight integrations into other enterprise systems and workflows, great flexibility for customization and branding, unique engagement features and advanced analytics and tracking. 10:10 Towards the end of last year, we expanded our events platform capabilities to address not just large flagship events, but all events of all sizes algin organizations to easily and rapidly create, manage and live and duplicate virtual and hybrid events by using automated event templates and not by consuming Kaltura’s professional services. This easy to use platform still offers are unparallel breadth of video experiences, engagement features, insightful analytics and a high degree of flexibility and branding. 10:46 We've deployed Kaltura meetings and event solutions for many exciting customers in Q4, including Check Point and Lowe's. Lowe is now providing a Kaltura powered live virtual do-it-yourself workshop experience for customers called Lowe’s DIYU, where Lowe’s experts provide live video instructions and engage an interactive Q&A in support of Lowe’s customers engaged in various DIY project. Check Point, a leading software security company conducted its recent Check Point experienced event series on Kaltura. 11:23 The third driver is our low touch and self-serve products and go-to-market vehicle. For the end of last year, we finished developing our new experience for the self-serve purchase of our Webinar, Virtual Classroom and Media Services offerings through our website. We're not optimizing and scaling our digital operations to support efficient online sales and are continuing to improve these products and to add to the mix more self-serve product. 11:47 We also recently started building an inside sales team for EE&T low touch commercial sales to augment our main sales team by also focusing on transactional sales for smaller organization. In M&T, we're continuing to expand our market from large telcos towards lower touch mid-sized media company with an easier to deploy end-to-end cloud TV platform that includes a front-end user experience and content syndication and monetization tools. In Q4, two such new media customers went live in [indiscernible] and AMC Network channel and CH Media Swiss broadcaster. Both of these customers launched in only a few months are faster and with far fewer professional services than our typical large telco deployment. 12:40 In addition to these three main growth engines, we're also growing our investment in our channel partners. We announced in 2021, our expanded relationship with partners like AWS and Oracle. We plan to continue to invest in these partnerships and others in 2022 and further grow our revenues from wholesale, resale and OEM partnership. We're also launching this year, our new M&T deals from 2021, which was a record new booking year for M&T, due to their lengthy deployment time, many of these deals will contribute revenue only starting from the second half of 2022. Several other M&T customers from prior years have also planned expansion projects in 2022. Lastly, we're continuing to grow our strong presence in the education market and to expand to cater also to smaller institution. 13:34 So in summary, all of our offerings, including our newer events, webinars and virtual classroom are growing an important. Top brands are relying [indiscernible] each of our markets to engage our customers and users. Retention rates remained strong and we believe we're well positioned to increase our market penetration in all of our markets in the coming year and beyond. We were expecting a certain slowdown as we shift from growing sales force productivity to scaling the sales force. We did however encounter greater headwinds in the last few months, but we have industry-wide sales cycle slowness, delayed hiring and a partial loss of business from one customer, that's already going back. 14:19 We also temporarily delayed our revenue growth by reducing our professional services and their associated revenue in order to increase our target markets, shorten sales and deployment cycles and increase our gross margins. While we're disappointed with our slower short-term growth, we are confident that the headwinds we encountered are short-lived and that they will soon be offset by our strong growth engines including the new products that we have brought to market and their modification to cater to lower touch and self-serve use cases, the ramp up of our sales force, strengthening of our go-to-market partnerships, and of course, the continued growth and success of our customers. With these engines, we expect to re-accelerate our revenue growth in the second half of 2022. 15:09 With that, I'll turn it over to Yaron, our CFO to discuss our financial results in more detail. Yaron?
Yaron Garmazi: 15:18 Thank you, Ron and good morning, everyone. As I review the fourth quarter and our fiscal year results today, please note that I will be referring to a non-GAAP metric adjusted EBITDA, a reconciliation of GAAP to non-GAAP financials is included in today’s earnings release, which is available on our website at www.investors.kaltura.com. 15:42 Total revenue for the fourth quarter ended December 31, 2021 was $42.7 million, up 21% year-over-year. Subscription revenue was $38.5 million, up 33% year-over-year while professional services revenue contributed $4.2 million, down 31% year-over-year. The remaining performance obligation were $185.5 million, up 32% year-over-year, of which we expect to recognize 57% it’s revenue over the next 12 months. 16:18 Annualized recurring revenue was $150.8 million, up 29% year-over-year. Revenue benefited from our continued year-over-year growth in net dollar retention rate, which was 120% in the fourth quarter compared to 103% in the fourth quarter of 2020. Within our EE&T segment, total revenue for the fourth quarter was $31 million, up 28% year-over-year. Subscription revenue was $29.7 million up 40% year-over-year, while professional services revenue contributed $1.3 million, down 60% year-over-year. 16:57 Within out M&T segment, total revenue for the fourth quarter was $11.7 million, up 7% year-over-year. Subscription revenue was $8.8 million, up 13% year-over-year, while professional services revenue contributed $2.9 million, down 3% year-over-year. GAAP gross profit for the quarter was $26.8 million, representing a gross margin of 63%, up from 60% gross margin in Q4 of 2020. 17:30 Within our EE&T segment, gross profit for the fourth quarter was $22.1 million, representing a gross margin of 71% compared to the same 71% gross margin in Q4 2020. Within our M&T segment, gross profit for the fourth quarter was $4.6 million, representing a gross margin of 39%, up from 36% gross margin in Q4 2020. 17:58 R&D expenses for the fourth quarter were $13.3 million, or 31% of revenue compared to 26% in Q4 2020. The increase was driven by additional headcount and payroll expenses as we continue to invest in our technology and innovation. Sales and marketing expenses for the fourth quarter were $13.8 million, or 32% of revenue compared to 23% in Q4 2020. This increase was driven by additional sales and marketing investments, including headcount and personnel related expenses. We intend to continue to invest in our sales and marketing as we expand our sales force and marketing efforts to leverage our position in the market and capture the significant opportunity in front of us. 18:48 G&A expenses for the fourth quarter were $12 million or 28% of revenue compared to 16% in the fourth quarter of 2020. The increase was driven by additional public company headcount and third-party related expenses. GAAP net loss for the quarter was $15.9 million or $1.2 per diluted share. Adjusted EBITDA was a negative of $7.7 million, decreasing for $1.5 million in Q4 2020. This result in line with our plan to increase our spend in order to further fuel our growth as discussed earlier. 19:25 And now for the full fiscal year results, total revenue for the year ended December 31, 2021 was $165 million, up 37% year-over-year. Subscription revenue was $145 million, up 39% year-over-year, while professional services revenue contributed $20 million, up 22% year-over-year. GAAP gross profit for 2021 was $102.7 million, representing a gross margin of 62% up from the 60% gross margin in 2020. GAAP net loss in 2021 was $59.4 million or $0.95 per diluted share. Adjusted EBITDA in 2021 was a negative of $12.2 million, decreasing $4.3 million in 2020. 20:19 Turning to the balance sheet and cash flow. We ended the quarter with $143.9 million in cash and short-term investment. Net cash used in operating activity was $10.7 million in the quarter and $22.1 million in 2021. 20:36 I would now like to turn to our outlook for the first quarter and the full year 2022. In the first quarter, we expect subscription revenue to grow by 12% to 15% to between $36.2 million and $37.2 million. Total revenue to grow by 5% to 8% to between $39.6 million and $40.7 million. As Ron mentioned, these take into consideration and expected material decline in our professional and services revenue. We expect the negative adjusted EBITDA to be between $9 million and $12 million. 21:12 For the full year, we expect subscription revenue to grow by 10% to 13% to between $159.5 million and $163.8 million and the total revenue to grow 5% to 8% to between $173.3 million and $178.2 million. Again as Ron mentioned, we expect to accelerate our subscription and total revenue in the back half of the year and focused our revenue from professional services to remain around slates for the rest of the year. We expect for the full year a negative adjusted EBITDA between $27 million and $32 million. With the expense front, our investment plans and priorities for 2022 has not changed. We plan to continue investing across both R&D and sales marketing to drive growth and expect our gross margin to continue growing moderately towards achieving our long-term goal. 22:12 In summary, as Ron mentioned, we believe that our [indiscernible] new products and the strong retention rate will enable us to accelerate our revenue growth rate in the second half of 2022. 22:26 With that, we will open the call to questions. Operator?
Operator: 22:32 At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Gabriela Borges with Goldman Sachs. Please proceed with your question.
Gabriela Borges: 23:19 Good afternoon. Thank you for taking my question. Ron, I wanted to come back to the comment you made on the change in buying merchants that you're seeing in your customers towards enterprise-wide product that you think we'll better than -- by the second generation of your events platform. So maybe talk to us a little bit about what are the leading indicators that you see, that leads you to believe that the expansion here at events platform will drive growth for the company in the second half? And how do you get comfortable with that, that's not an additional headwind that you are seeing from competition? Thank you.
Ron Yekutiel: 23:56 Thank you, Gabriela for the question and thank you everybody for joining the call. I'm going to give you a few examples of things that we've been seeing over the last quarter that are supporting the notion of starting to sales cycles that they are longer. So had a top-tier company that's been a 20 year Kaltura customer -- I'm sorry, top 20 Kaltura customer for more than nine years with us that awarded us their event business for the Tier 2 and Tier 3 events, meaning the smaller and intermediate sized events, not the flagship events, but that's going to take them a while until they physically contract. We are already available and it goes through the motions and their expected that later in the year. 24:33 Another example is a very well-known technology company, it was not been our customers to-date, they joined us, that they've done two smaller events with us, they find us [indiscernible] one of the two final candidates to do other events, we’re discussing thousands of potential events and they go through a prolonged process as we go through these initial event to assess the quality of the product and make final decision around where it's going to be deployed. By the way, the reason for the first one for choosing us was the enterprise ability of our platform, the fact that we could address integrated workflows across the entire organization. The reason for the second leading position that we are right now is the fact that we could address complex the event templates which could be easily replicated. 25:15 For example, they run training events that require robust content management capabilities or the only platform that could support these need. I could give you a couple of more a new tech company customer for this past quarter around with us their annual customer event receive their users the highest scores in five years at virtual event experiences and that's for both physical and virtual events and the rating was off the chart in the health care organization that's been a customer of ours for eight years are starting to do stuff. So we're seeing, definitely the pipeline build and the need come in, but the decision making process of a platform that caters is not to very large flagship events that need to happen immediately and happen once rather many, many intermediate size events is just a longer process. And so we are seeing the market stay that we are a very strong offering there. And their interest the cycles or just longer. Does that address your question?
Gabriela Borges: 26:11 Yes. Thank you. And maybe a little more detail on what you're seeing in the existing book of business. You mentioned a one of the way it's being a partial loss of business. Are you seeing additional customers to have downsize their contract with you, as they figure out their longer-term plan because perhaps the nature their events have a change in real-time? Maybe just a little more on whether you're seeing a downtick in existing customer spend or any other examples that parallels the one customer needs?
Ron Yekutiel: 26:45 Yeah. Happy to address that. So first of all, we did discuss one of our major customers that reduce part of their business, as well as the revenue during the quarter. They've since renewed various projects, et cetera. I will say first and foremost that they have multiple projects and they are growing the other side of the project. So there were some projects that were canceled and the rest are ongoing. As for the other ones, as we did state outside of this specific customer, our gross retention metrics in 2021 were close to our historical average, both in 2020 and in 2019. And the net dollar retention rate remains high. So we're not seeing any massive change in our gross retention or in the net retention behavior of those states that as it pertains specifically going forward into the flagship event. Is there a possibility that some of the other folks that just use us for flagship, might be to replace to the full or do a partial potential, but that's not a huge part of our revenue and we are seeing the migration into additional bigger project as well? So we're not expecting a major change in our gross retention metric. Does that address your question?
Gabriela Borges: 27:51 Yes. Thank you for the color.
Ron Yekutiel: 27:55 Thank you. Gabriela.
Operator: 27:57 Our next question is from DJ Hynes with Canaccord. Please proceed with your question.
DJ Hynes: 28:03 Hey, Ron. Hey, Yaron. Thanks for all the color on current trends. I appreciate the transparency. Ron, I want to ask look if you're seeing sales productivity declines within your existing team. What makes you think throwing more resources that the problem is the right solution now?
Ron Yekutiel: 28:24 Yeah. So, great question and thank you, DJ. So, first and foremost, this has not been a very prolonged process. I remind you that we've seen increasing productivities before COVID, during COVID and that sustain all the way through kind of the end of last year. We know the Q4 was a bit of a different duck (ph), even through Q3, that there was a mild reduction. We're just still forecasting for the year based on the actual pipeline that we should be fine for the year. So that change really was few deals that slipped at the end of the year that just took longer and most of them, almost all of them, the statement is absolutely doing this, you got a verbal this just takes longer. So we're not feeling that there is a slowness overall in the demand nor in the underlying market. 29:05 The other one is, I mentioned, we've been adding the types of products would enable us to continue to address this trend and this change in this elongating of these deals and we're -- it's not that deals are stopping just the closing of the deals take more time. So bringing more salespeople to work on the likes of the deals that I mentioned, as well as many others is something that's absolutely worthwhile, it does not fairly mean that the translated into closing the business immediately. 29:31 Last thing, I would state is that even if you look at the productivity there is still higher than 2019 on average for 2021. And even if you take the run rate on the second half of the year, it's the portion of that that's built from a kind of an LTV to CAC is still a favorable number on the second half of the year. And so we're not at the levels that we would argue that it's not an efficient operation, but we're keeping an eye very closely on it and we're not going to add all the people in one sunny day and as we ramp up throughout the year, we're going to continue to make decisions of it.
Yaron Garmazi: 30:03 And one more point that I want to add DJ is that when we look on the pipeline, obviously, we are not sharing pipeline numbers, definitely, we see a nice development in the pipeline, especially around the new offerings that Ron mentioned. So we do feel that we will be able to convert into booking using the new salespeople.
DJ Hynes: 30:27 Yeah. Okay. The other question I suspect them to get is, what we've had four straight quarters, I think net revenue retention has been kind of 115 to 121, you're guiding 12% to 15% subscription growth in Q1. I think the bridge is probably this large customer attrition that you talked about, can you just give us a little more clarity on what's happening there? Like, what did they not renew, what are they now adding, what is the financial impact? I think that would help folks get comfortable there.
Ron Yekutiel: 30:58 Sure. Happy to do that and thanks for asking. Look, this is the customer again, we're trying to keep the privacy of our customers and confidentiality of the situation, so we can get into the nitty-gritty. Like I said, it's a major customer they have a fair amount of business with us, they do quite a few of events. It's a lot of event focus situation from our understanding for internal reasons with conversations with their teams they decided to switch to another option and part of their business, it's not related to our immediate product or services. Altogether, it's a few of the big events that we support them. It did translates to a fair amount of reduction. By the way, more on the non-recurring, then it is on the recurring but in both. But it's important to note that we're anticipating anyway a drop in professional services from them, given all the trends that we have stated and that we are currently forecasting to catch up on the subscription revenue from additional deals that we're doing with them. And so there are remaining a large and important customer, we are renewing projects with them. We're discussing additional ones them that's kind of the some of that. Yaron, you want to add something there.
Yaron Garmazi: 32:07 Yeah. And one thing that we are not showing booking numbers, but I can tell you that even in the first quarter of this year. We definitely saw a very nice momentum in booking around this specific customer. So, looking into the rest of 22 and the conversion into revenue, we do feel that this customer is going to be -- continue to be a very, very significant customers for us.
DJ Hynes: 32:31 Okay. I appreciate the color. Thank you, guys.
Ron Yekutiel: 32:34 Thank you, DJ.
Operator: 32:38 Our next question comes from Michael Funk with Bank of America. Please proceed with your question.
Michael Funk: 32:43 Yes. Hi. Good morning. Thank you for taking the question. I wanted to go back to your comment about the sales cycle in that lengthening and just wondering if this is the new normal, in your view, or if it's a reflection of customers may be shifting course mid-negotiation around uncertainty on kind of the product in the use cases and what they actually need. So I was trying to get a sense of what's driving that late in the sales cycle and if this is the new normal?
Ron Yekutiel: 33:15 Yeah. Michael, thanks for asking. So look, we always thought that post-COVID those cycles are going to be longer than during COVID, if that's not the question because, again, a lot of it was spur of the moment decisions of people needed to have done very quickly. We are seeing now some of the cycle taking a bit longer than what we would anticipate, I think part of that is that quarter four coming out of this crazy year and some people taking more time off might be longer than usual, potentially macro situations around budgets. But I think beyond that, it's really a point of that transition of the type of product into a more thoughtful longer-term strategic decision around events for the entire organization. 33:54 And I think -- there are two things are going to happen, number one, if the beginning – it gets delayed, it’s like a traffic jam of the year at the beginning of it, once it starts rolling, then you have the flux the deals that we do close now. So that interim period of that delay is probably creating a bigger impact then later on even if sales cycles remain a bit longer. But I do expect that they're going to become quicker for various reasons, number one, I think people are going to understand exactly what they're looking for and still a rather new shift. The second thing is that we are going to have more of that product available. We just launched it in Q4, the additions, the modifications and we're going to do more and more of it and more and more success stories, like I said, we have quite a few initial success stories. And I think we'll be in a position to sell these things quicker. 34:38 I will note again that even if you look at productivity and where they're at, it's decent productivities and so we are hoping that if it's following on what happened in the second half of the year, it's still going to do well, we're hoping it's going to do better. It's hard for us, we are a long sales cycle company, it's not a transactional F&B quick sale, albeit that we are coming down market. We cannot look at one specific quarter and be able to stay for sure exactly how things are going. We're going to need to monitor this in next few quarters and up to you.
Michael Funk: 35:08 Great. Just to clarify, I think you mentioned that although the sales cycles are lengthening the deal sizes you are executing larger as customers think about in the draft kind of our core company needs. Is there any way to quantify that change in deal size? And is that just going to, to your point, add more potential lumpiness to quarters, but I'd like to peg in the python once it works through, you end up at the same point at the end of the year was that your point?
Ron Yekutiel: 35:41 I would hope I mean it's -- so first of all, over the years, we've increased our ARPU and average ARR (ph), we've seen an increase also in the passing year of the average recurring revenue per customer quite significant. We did post the number of customers that are over $1 million and hundred thousand dollars growing respectively by 75% and 25% in the passing year. And so we are getting bigger ticket items. Some of the deals that I mentioned now that are in play for thousands of events across organization are quite large. So, yes, it's the expectation is for this to grow. 36:13 The other thing is not just the size of the deals, but also the structure from a recurring subscription versus professional services. The flagship events were also requiring fair bit of non-recurring professional services because they would come alongside our ability to provide branding and very close work with a very, very large deals in part also because we didn't have the automated product to support that just by way of our product. Now we're going to have more recurring, more subscription unless professional services. So I think hopefully what we're going to see is rebound back to faster sales cycles, more demand as we strengthen our product, larger ticket items and higher gross margins and faster transactions with more transactional products. Again, we will monitor this in the quarters and add an update.
Michael Funk: 37:02 That's all great color. Thank you so much.
Ron Yekutiel: 37:04 Well, thank you, Michael.
Operator: 37:07 Our next caller Michael Turrin with Wells Fargo has a question. Please proceed.
Austin Williams: 37:14 Hey, guys. This is Austin on for Michael. I just wanted to touch on RPO and CRPO. It looks like both were up double-digit sequentially but ARR was down sequentially. Could understand customers' downsizing might result in a downtick in ARR, but what's driving the divergence between those two metrics there?
Yaron Garmazi: 37:38 Yeah. First of all the big increase in the RPO is mostly not just, but mostly related to the fact that we added there, some of the big deals that we have in Media and Telecom, which are definitely contributing to the growth RPO by the way some of these deals will be converted into revenue there just the second part of the year 2022, but it's definitely going to push growth rate up, hopefully. In terms of the sequential and what that means, in this quarter, yeah, the slowness that we saw in productivity and the specific reduction of this big specific customer, which as I mentioned, and Ron mentioned, it's mostly for the short term and not so much for the rest of the year as these customers continue to renew and book more transactions during Q1. There was a pressure -- short-term pressure that we felt in Q4 going into beginning of the year on the RPO.
Austin Williams: 38:43 Okay. That's great. Thank you. And then just as a follow-up, just wanted to unpack the revenue performance on a geographic basis, were there any call-outs related to specific geo’s that might have driven the lighter performance on revenue during the quarter.
Yaron Garmazi: 39:00 No. Short answer is no. The trends are basically the same trends there. North America is still our biggest region followed by Europe and then Asia-Pacific. And there are some small tweaks and shift but it's remained mostly the same.
Operator: 39:19 Our next question is from Matt Niknam with Deutsche Bank. Please proceed with your question.
Matthew Niknam: 39:32 Hey, guys. Thank you for taking the question. Maybe two, if I could. First on, churn. Maybe if we can get any more color on how customer churn striking. I guess, more focused on customers within EE&T that may have joined sort of earlier on in the pandemic. So if there is any color you can give us in terms of how that cohort joined roughly two years ago, how churn is trending there? And then secondly, if we try to sort of unpack the revenue guide for subscription, within 2022, is the implication here that subscription revenue growth there is relatively flat in the second quarter and then sees a little bit more of a ramp into wage as you start to see some more bookings from new salespeople? I'm just trying to sort of figure out the trajectory during the year. Thanks.
Ron Yekutiel: 40:27 Yeah. Thanks, Matt. So on the churn side, again, we do not see any specific other than that individual customer that we discussed any behavior that is significantly sounds like as mentioned it's aligned with the last couple of years and some of the departures are new, but I think a fair bit of them or not. And at the end of the day, the gross churn number, albeit that we don't represent it and we don't discuss it as a KPI. We just do the net dollar retention is within best practice for the enterprise. So we're not seeing it. I did put that caveat that we need to keep our eye open and what's going to happen with these flagship events, like I said, there is a good potential for us to move from flagship to full event platform, we are seeing with some and some other cases, it might change. We're going to keep our eyes open over the next few quarters and it's not a big chunk of our revenue. If it was big, it was mainly that single customer that had the biggest piece of it. As for guidance, for subscription, go ahead Yaron.
Yaron Garmazi: 41:27 Yeah. As we say most of the headwinds that we felt, we felt it with an impact for the short term and this creates a pressure on the growth of the subscription revenue, especially this specific customer that as we mentioned, we saw a pressure on topline, but at the same time, we are booking more and more with them. So we see the turnaround point happening as we speak. And at the same time, we believe that also most of the impact of the productivity is going to turnaround in the second part of year end by adding the more people. We do believe that we will see very nice acceleration in the growth of subscription revenue going into the second part of the year. 42:12 And yes, if you look on -- if you look on the guidance that we have provided to Q1 and which you can see that the remaining of the year in order even to reach the guidance, even if we are not going to beat the numbers showing a very nice sequential growth in also mostly in subscription revenue. And as we say the pressure on professional services will continue its going to be mostly flat for this year. So most of the upside and the impact that we will see the second part of the year, quarter-to-quarter ends on a sequential basis is going to come from subscription revenue. And we do see it in our internal model right now.
Matthew Niknam: 42:56 That's great. Thank you both.
Ron Yekutiel: 43:01 Thank you, Matt.
Operator: 43:02 Our next question comes from Steve Enders with KeyBanc Capital Markets. Please proceed with your question.
Steve Enders : 43:10 Great. Thanks for taking the questions here. I guess, just from a vertical perspective, I guess is there anything to break down and what the demand environment looks like across each of the – with just segments here, particularly on the EE&T side I think sounds like EdTech has been a little bit more impacted. Just what we've heard in the market, but just any kind of breakdown from a vertical perspective on what you're seeing out there?
Ron Yekutiel: 43:41 Yeah. Sure, Steve. So first of all contribution was coming from all segments order in the largest contributor continues to be enterprise. We spoke about geography. I mean, I can give you a few examples of things you're asking about EdTech that but we have a large multi-campus private university that serves over 20,000 students a year. They basically selected us from a very highly competitive test out there around the different options. There is a round of world, a large universities in the Netherlands that’s serving 35,000 students that took us to replace the full video technology stack. We've got another very large prestigious privately owned university in the Philippines serving 30,000 students that's leveraging our capabilities to do all of their on-prem or local and hybrid remote classroom work. We have upsells across our organizations, a large California-based engineering university double down on their transcription capabilities with us. So we're still seeing a good action coming from education. 44:43 Do I think that the tick up in education will continue at the same velocity that it jumped up at the height of COVID with some more consumption might be lower, but the good thing is that we have a good hedge across all the different elements. So one example of that for example is Media and Telecom. You remember that in 2021, it was a record jump in booking, it grew by 100% and in the second half of this year, we're going to get a lot of that benefit on the revenue side. So, a good portion of the growth by the way is already in pocket the stuff that happen. So enterprise is running forward with events, education is doing well. It might do another big jump. One of the things that we're looking at is selling the event platform for education, a lot of folks are coming to us and are saying they want to use out for various events universities are using. So, we're keeping an eye on that one.
Steve Enders : 45:30 I guess maybe asked a little bit differently and we have not seen impact on the EdTech space from classes going back in person or anything, anything on that front?
Ron Yekutiel: 45:42 No, because we're not without a usage based charger on that side. So to remind you the content management systems, we've been selling for education for years including plug-ins to LMS and electric capture. We're in FTE-based model. And so the more people use us we didn’t certainly get paid more. So far as what's happening if there is a bit less consumption after COVID doesn't affect our revenue. Our universities even more clear that they need to use the systems. Yes. One thing is that during COVID people needed to use this very quickly for COVID, but they didn't rethink about their strategy going forward for a full flip classroom experience where people could come to the campus to do their drills and training. But really consume the actual lecture content back home, it’s called flipping the classroom. And we're seeing more and more universities saying okay, we understand the new standard and we need to start preparing for more video capabilities in this new standard. So, no, I mean companies that really popped or consumption based companies and probably, they went up and they go down, we didn't have that in EDU. So that's not a problem for us. That address your question.
Steve Enders : 46:49 Yes. That's helpful. And then I guess just on the cloud go to market partnerships with AWS and Oracle. Just any update on how those are -- how those are ramping versus your expectations and kind of a new contributions at those in the quarter?
Ron Yekutiel: 47:09 Yeah. Happy to address that. So we're continuing forward with both partnerships both with Amazon and with Oracle. To remind you, Amazon has been a long-term partner for us and we are in their marketplace and working on selling more. We have a fair bit of deals that are coming and opportunities that are coming through the Amazon partnership and they’re continuing forward. I'd say the Oracle front, but we made that extended partnership earlier this year was first and foremost around moving our OEM relationship into OCI. We're making headway on converting and enabling to our OEM relationship and OCI and doing more things, but we have go-to-market together. So I think that the impact will be building up throughout the year of 2022. I think that towards the latter part of the year once the OEM and OCI are running stronger, we could expect a lot of good things start from there as well.
Steve Enders : 48:02 Okay. Perfect. Thanks for taking the questions.
Operator: 48:07 Our next question is from Ryan Koontz with Needham and Company. Please proceed with your question.
Ryan Koontz: 48:13 Hey. Good morning, guys. On the timing of your large customer churn was that more of an impact to Q4 or Q1, how should we think about that kind of step down there and that impact on the numbers?
Yaron Garmazi: 48:28 Yeah. In terms of the revenue, it's obviously an annual contract we have on this specific event or situation, but most of the impact was on Q4 and Q1. It's going to turn around because of the fact that, as we mentioned we are signing and closing more deals with them with this specific customers. So with this specific customers, so by the end of the day, the bottom line is that most of the impact is on Q1 and -- Q4 and Q1 of this year. And then going into the second part of the year, we already see this customer ramping up and as we mentioned, it's still going to be a very significant customer for us.
Ron Yekutiel: 49:12 I'd just say that from a professional services revenue, the bigger reduction was in Q4, albeit that there is a nice reduction in Q1. And from a subscription because it kind of builds up from the end of Q4. The bigger impact was in Q1 than it was in Q4.
Yaron Garmazi: 49:25 The run rate on subscription revenue that we see with this customer, the second part of the year is basically the levels that we had before this specific situation.
Ryan Koontz: 49:36 Got it. And on the -- great. I hear you on the longer sales cycle, but on your hiring plans and your head count productivity, can you help us out there as far as how you feel like your position now and how much more you need to see. Ron anymore kind of color you can give us here is helpful? Thank you.
Ron Yekutiel: 49:58 Sure. So we ramped and we noted more than 40% year-over-year growth in the total count of ramp salespeople from Q4 ‘20 to Q4 ‘21. We're expecting to do the same this year. When we count that ramp is in as six months after for sales and four months after for see a sense for customer success managers and obviously at this point given longer sales cycles, it does mean that they are 100% yielding already and for sure revenue comes in gradually after because this is the beginning of booking. And so it's -- that 40% is a nice increase for years it's been at zero and then within one year, it grew by 40%, but it's under the number that we were planning and we're catching up on that delta. 50:42 I think that in the coming year 2022, we're going to enjoy both. So the increase that we had in 2021 is going to bear fruit, because they're going to be in place for longer, they're going to be addressing all these cycles that they're sitting now selling against. But we're also going to have the new guys that are coming in 2020. Last thing, I'd say is that we've launched also the inside sales commercial sales initiative and ramping people there to address low touch products as well. So that's supposed to help us as well.
Ryan Koontz: 51:10 Got it. Thank you.
Ron Yekutiel: 51:13 Thank you.
Operator: 51:14 Our next question is from Pat Walravens with JMP Securities. Please proceed with your question.
Pat Walravens: 51:20 Great. Thank you. Actually I have two. Ron, first of all, I guess I wonder is the hybrid world is playing out sort of the way you thought it would? So for example, in my kids schools, I would have expected that they have a classroom set up, so that if you have to stay home, you can still watch class. But in fact this not what they're doing in the public schools, they went all the way back to in person. And if you miss classroom, you miss class. Likewise, if you look at our industry, a lot of these investor conferences, you would have thought would have been hybrid, but a lot of are actually going back full in person. So they're either all hybrid or all virtual or all in person. So I just wonder if maybe our expectations around hybrid were overblown. What do you think?
Ron Yekutiel: 52:09 Yeah. That's a good question. I think first of all that, I know you're talking about K-12 school I assume when you say your kid school.
Pat Walravens: 52:19 Yeah. That’s eight grade.
Ron Yekutiel: 52:20 Yeah. So I think first of all, K-12 takes longer than higher-ed by the nature of things. I think that higher-ed is changing quicker in-house changed prior and K-12 we will continue to do so. I think that -- so far as the large events and investor events, et cetera. I think the game in town is not so much hybrid with mix, so that when people are consuming regardless of where they are, it doesn't really matter, they're going to be consuming the same content because many of them might not be coming. So it's not one or the other, it's both. And I think that, that there is going to be more of that that there'll be this ubiquitous solution that regardless where you set if you're sitting on stage for you or not be able to consume the exact same things. You could do one day at home and it appear for the second day where could be after the entire days in both the networking, engagement, follow-ups and everything else will be equally done for all. And I think that that is the future. I think that while people don't know if 20% are going to shop physically or 80% are going to shop physically people don't want to disqualify those that would not becoming physically. And I do think that that is the future. I think that's a long time in technology, people are trying to build a faster horse, not a car, and now people are thinking how you do this better. So it's going to take a bit of time. We're still very close but it's shifting.
Pat Walravens: 53:40 Okay. And then my second question would be -- I mean look at 1.5 times EV to revenue obviously, people are going to be knocking on your door. So what are the key points that you would want to share with investors in terms of how you guys are going to respond to and how you think about strategic interest from other people would want to buy you?
Ron Yekutiel: 54:09 Got it. Look, I mean the reason and I'm not going to get into price and what's the fair price or not, I don't think that this necessarily is in line with our forecast and where we're going and definitely not for the strategic value of the company and we've been growing and bringing certain business there is a certain shift for a short period and then it's going to change yet again, I think it's more reacting to the very short-term quarter next quarter, but pertaining to your general question about reaction to strategic interest, we'll be sitting with folks and having whatever discussions we need to do to best represent a value for shareholders. But we are absolutely looking forward and what this company is worth not in this quarter, not next quarter, but in the quarters to come. And it has nothing to do sometimes with the short-term situation. We're very bullish and very excited about the general direction of video and about the general direction of the company and there is a lot of growth drivers in place to support our growth.
Pat Walravens: 55:09 Great. Thank you very much.
Ron Yekutiel: 55:11 Thank you.
Operator: 55:13 [Operator Instructions] Our next question comes from Param Singh with Oppenheimer. Please proceed with your question.
Param Singh: 55:26 Hi. Thank you. Yeah. This is Param Singh on behalf of Ittai Kidron and thank you for taking my question. And thank you so much for all the color and sorry to beat a dead horse. But really want to understand the dynamic in the subscription revenue when I just look at your guide, it looks like you're 12% to 15% in 1Q is higher than your full-year 10% to 13% and given all the color that you've given. One, would expect that it would pick up through the year and accelerate, so why this type of guide and what is the dynamic that we missing here and how do you reconcile your productivity and high-end the sales coming back with this type of subscription growth that is decelerating?
Ron Yekutiel: 56:04 Yeah. Thank you, Param. It's not so much is already. I mean, one thing to be careful about is these are looking at year-over-year growth rates, I think the best way to try to look at this is on sequential. And sequential has come down and we got a nice hit from the departure of projects we're one of the customers that, like I said, is doing more business with us and is growing again and we had the partial slowdown, but if you look at what we're expecting throughout the full quarters of the year, we're expecting sequential to gradually pick up. And so it's -- we're not slowing down. It's just that when you superimpose that on last year's revenue and the behavior of last year there could be various levels of growth. But the beginning of the year we'll show some slowdown on a year-over-year that we're going to see a big jump on a year-over-year. So I think what we need to keep our eye on is what this means that we have sequential. Yaron, you want to add.
Yaron Garmazi: 56:55 Yeah. I will not get into the specific because obviously we're not going to give guidance for the second part of the year, definitely, we see a very nice acceleration in the sequential growth based on the fact that as you can see the first part of the year is basically flat almost split and therefore the second part is definitely accelerating quarter after quarter on the sequential basis.
Param Singh: 57:21 Got it. Thank you. And then again, following up on one of the earlier questions, the work from home dynamic that's changing, I mean, have you seen any of the change, the way to think about the number of virtual events of the doing the dollar spend that they're going to do anything you could share that would be really helpful?
Ron Yekutiel: 57:39 I think that people understand that the spend on a virtual event is far, far lesser than on a physical event by order of magnitude and there is an eagerness we use these platforms in order to increase our rely on these brands, but I think it goes far beyond that is just the increase in reach and the quality of the engagement, the degree of analytics and that's one of the things that we win by. Again coming back to why Kaltura wins on virtual events. It's a degree of integration that we have into the different systems, the quality of the analytics that we could generate and of course the quality of video being a leader from the video space there is folks at this industry, but didn't have really video capabilities that we're doing physical events and we've come with this extremely powerful video side. Coming back into the statement around not just ROI and reach, but the degree of data and analytics that could come out of it is really, really high. So yeah, we're -- there is very little doubt that there is going to be a lot of these events. It's just a question of where do we fit within the single system and this shift from flagship into full events medium and small size sales cycles that are associated with it. I think that's a good question.
Param Singh: 58:52 Got it. No. Thank you so much for showing that much appreciated.
Ron Yekutiel: 58:58 Thank you, Param.
Operator: 59:03 Ladies and gentlemen, we have reached the end of the question-and-answer session. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.